Operator: Good day everyone and welcome to the Blackbaud 2015 Second Quarter Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Jagtar Narula, please go ahead sir.
Jagtar Narula: [Technical Difficulty] second quarter conference call. Today, we will review our financial and operational results for the second quarter of 2015 and provide commentary on our progress towards achieving our goals for the full year. Joining me on the call today are Mike Gianoni, Blackbaud's President and CEO; and Tony Boor, Blackbaud's Executive Vice President and CFO. Mike and Tony will make prepared comments, and then we will open up the call for your questions. Please note that our comments today contain forward-looking statements. These statements are based solely on present information and are subject to risks and uncertainties that could cause our actual results to differ materially from those projected in the forward-looking statements. Please refer to our SEC filings, including our most recent Annual Report on Form 10-K, and the risk factors contained therein as well as our periodic reports under the Securities Act of 1934 for more information on these risks and uncertainties, and on the limitations that apply to our forward-looking statements. During this call, we will discuss non-GAAP organic revenue growth, which we believe provides useful information for evaluating the periodic growth of our business on a consistent basis. Details of our methodology in calculating non-GAAP organic revenue growth can be found on the Investor Relation section of our website at www.blackbaud.com. Also, please note that a webcast of today’s call will also be available on the Investor Relation section of our website. Before I turn the call over to Mike, I would like to highlight some of our upcoming investor events. Our team will be participating in the following upcoming conferences; The Pacific Crest Global Technology Leadership Forum on August 10 in Vail, Colorado and the Oppenheimer Technology, Internet & Communications Conference on August 11 in Boston. We will be hosting one-on-one meetings with management at these conferences. So please contact Investor Relations if you are interested in meeting with us at one of these upcoming events. Also, please note that our 2015 Investor Day will be held on December 3 in New York City. There will also be a live online webcast of the event. We will provide more details as we get closer to the event but if you are interested in attending the event live in New York, please contact Investor Relations. I’m now pleased to turn the call over to Blackbaud's President and CEO, Mike Gianoni.
Mike Gianoni: Thank you, Jagtar. Today we are reporting our second quarter 2015 results that reflect the benefits of our market leadership position, a strong and integrated product portfolio, and a continued shift in our business, the one driven by our reoccurring subscription revenue base. Tony will provide more detail about our second quarter financial performance a little later during the call. Consistent with last quarter, I would like to provide a Q2 update on the status of our five growth strategies as we outlined at our Investor Day last September and then end the call with a comment on our outlook for the balance of 2015. So let’s being with the review of our five growth strategies. The first of our five strategies is accelerating our organic revenue growth. As discussed in our Investor Day last fall, our goal is for annual organic revenue growth of 6% to 10% on a constant currency basis. In Q2, we achieved non-GAAP organic revenue growth of 5.6% versus last year, and 7.2% on a constant currency basis. Year-to-date, our non-GAAP organic revenue growth is 7% or 8.4% when normalized for foreign currency. Also subscription revenue organic growth for the quarter is an important metric for us at 14.9%. Our growth is supported by our strategy of investment in innovation and focus on quality and integration of our solution. We continue to be pleased with the impact that the strategy is having on our revenue growth. Last quarter, I talked about our Enterprise CRM platform, which we released Version 4.0 late last year. Client reaction to the new version is very positive and we’re seeing rapid adoption. Of our clients live on Enterprise CRM, approximately 80% are now using one of the two most recent versions of the software. The improvements in this latest version of the product mean two things, greater revenue from client adoption on lower costs supporting legacy versions of the product. Another example is eTapestry, our entry level CRM product. Our focus on innovation and product integration has been one of the keys to continue success of this product. This year, we’ve made update to the product with deeper integration to both our payments platform and our analytics capabilities. The payment integration now includes the ability for customers to process ACH donations in the application in addition to credit care donation. Recent updates include integration with our social media finder analytics capability for improved donor targeting via social media. The application of our strategy has helped eTapestry with both unit sales growth and improved client retention. Supporting our growth strategy are the overall trends of the non-profit sector which continued to be strong, a report on U.S. charitable giving was released this past month by the Giving USA Foundation which shows the U.S. market was very healthy in 2014 with total U.S. giving reaching $358 billion, a 7.1% increase from 2013. Furthermore, giving continues to move online, an example is Giving Tuesday, a global day of giving founded in 2012 by the 92nd Street Y in partnership with the United Nations Foundation. We are a founding partner of the event. In a report that we just issued, we showed that Blackbaud saw 36% increase in online donations during the latest Giving Tuesday. These trends of a healthy market combined with diversity of fund raising channels supports our growth strategy of offering a deeply integrated suite of solutions to support our clients’ needs. Our second strategy is accelerating our move to the cloud. I would like to note that subscription revenue accounted for more than 50% of total revenues this quarter for the first time in Company history. Now last quarter, I talked about our newest cloud based solutions Raiser's Edge NXT and Financial Edge NXT. We continued to make progress with these solutions on both a solution and sales front. On the solution front, two weeks ago, we announced a general release of Raiser’s Edge NXT. The general release follows both the early adaptor program in a limited availability release, while the general release of Raiser’s Edge NXT as a milestone, we’ve had customers using the product in live production environment for some time. On the sales front, customers continue to show strong interest in the NXT products. Raiser’s Edge NXT exemplifies our strategy, it’s a subscription based solution that takes our customers out of managing infrastructure and provides a strong return on investment. It also provides compelling new innovative features and deeply integrates capabilities such as payments, online marketing and analytics. Customers have responded very well to this new offering. While we typically don’t discuss sales data of individual products, I would like to mention that we have sold over 1,000 units of Raiser’s Edge and Financial Edge NXT to both new and existing clients. We currently have over 225 customers live that are made up of North American and International non-profits. To show customers the advance of Raiser’s Edge and Financial Edge NXT, we have held a series of road shows across the country which included Boston, New York, Los Angeles, and San Francisco. The purpose of these road shows is to share the vision of NXT to new user experience, a road map going forward and the estimated return on investment. The road shows have been positively received and we are as a result, planning additional shows for the second half of the year. Our third strategy is the expansion of our total adjustable market or TAM. Today, our TAM is over $5 billion and is expected to grow to approximately $6.5 billion over the next three years. As we discussed previously, our strategy is to expand our TAM through tuck-in and strategic acquisitions. We did this last year with the acquisitions of WhippleHill and MicroEdge, and we are focused on ramping integration and successful operational execution of these acquisitions. We just held our K-12 Annual Conference, which we hold separately from bbcon, which is our general Blackbaud user conference. We had record attendance at the conference, which up was 75% over last year. On the solution front, we have focused our post acquisition efforts along our strategy of innovation and integration. As a result, we have seen sales accelerate in the K-12 space, and in some cases, we are replacing several standalone solutions with our integrated suite. A real example of this is Father Ryan High School, a Catholic co-educational college repertory high school located in Nashville, Tennessee. They recently purchased our integrated suite of K-12 solutions, including Raiser's Edge NXT, Financial Edge NXT, and WhippleHill on products. The result is that they now have a software they need to manage fund raising, their financials and the school operations including admission, student information, website content, and student learning. The integrated offering we believe is a compelling proposition and in this case, we are moving the school from three competitors offering point solutions to integrated suite. The advantage for Father Ryan High School is that they now have one vendor and an integrated product suite. Our fourth strategy is to continue the optimization of our back office systems and infrastructure. This initiative is progressing well as we continue to streamline and mature our internal processes. Additionally, our formal quality program is well underway as our several process improvement initiatives all aimed at streamlining internal operations, improving quality and ultimately providing better scale and margins as we continue to accelerate subscription revenue growth. Our final strategic area of focus is three-year margin improvement plan. Our long-term aspirational goal calls for a non-GAAP operating margin of 20.5% to 23.5% by the time we exit 2017. This is a 300 basis point to 600 basis point improvement from our base line of 17.5%, which was the midpoint of our original 2014 guidance. In the second quarter, we achieved an operating margin of 20.6%, which represents a 120 basis point improvement over the same quarter in 2014. On a year-to-date basis, our operating margin improvement now stands at a 150 basis points over the prior year and 160 basis points over our 17.5% base line. We expect to continue to see operating leverage improvement across our business over time. Overall, I am very pleased with our progress in the quarter. We continue to maintain focus and execution on our five-point growth strategy, and we continue to see solid organic revenue growth from our investments while momentum builds due to our NXT launch. At the same time, our ongoing focus on efficiency will allow us to drive both increased investment and shareholder returns. Now, I will turn the call over to Tony to provide more detail about the second quarter performance. Tony?
Tony Boor: Thanks, Mike. Good morning, everyone. Thank you for joining us today to review our 2015 second quarter performance. We had a solid quarter and have strong continued momentum as we had into the second half of the year. Before we review the quarter’s results, let me just remind everyone of the presentation changes we have made this year to our P&L and disclosures. As I discussed in our last earnings call, in 2015, we have changed our income statement to reflect the ongoing transition of the business towards subscription. First, we reordered the P&L from largest to smallest revenue stream to better align with our focus on subscriptions and recurring revenue. Second, we have combined the software and other revenue lines to reflect the decreasing importance of software revenue to our business. Year-to-date, our software and other line represents 2.7% of total revenue, down from 4.4% in the same period last year. Also, we no longer review target analytics as a separate reportable segment due in part to the continued integration of analytics into our solution portfolio. The revenues and associated cost for offerings historically provided by target analytics are now presented within each of our other reported business units based upon the business unit servicing the end customer. Now let's turn to the second quarter performance. We delivered non-GAAP revenue of $158.7 million, an increase of 13.9% over the second quarter of 2014. Organic growth was 5.6% when compared to non-GAAP revenue for Q2 of last year. Excluding the impact of currency movement, the organic growth rate was 7.2% when compared to the same period last year. The organic revenue growth was driven primarily by recurring revenue, which grew 8.9% year-over-year on an organic basis. Our recurring revenue represented 75.9% of total revenue in Q2. This compares favorably to 72.8% as reported in last year's second quarter. Please note that our calculation of organic revenue growth reverses some of the second quarter 2014 revenue associated with Blackbaud Netherlands. We consummated the divestiture in Q2 2015 and organic revenue growth includes the results of BBNL in our consolidated results for the same period of time in both Q2 2014 and Q2 2015. With this transaction, we will now distribute our eTapestry product into the Dutch markets through a partner, while we continue to sell [ph] Raiser's Edge and Blackbaud CRM directly via the UK. We view this model as a better approach to serve the local market. Our non-GAAP gross margin was 59.4%, which compares favorably to our non-GAAP gross margin from last year's second quarter. The improvement was driven by improved margins and subscriptions and services. Moving down the income statement, we generated non-GAAP operating income of $32.7 million representing a non-GAAP operating margin of 20.6%. Adjusted EBITDA was 38.2 million, with non-GAAP net income of 19.2 million and non-GAAP diluted earnings per share of $0.41. Now let's turn to the cash flow statement and balance sheet. In the second quarter, we generated $43.3 million in cash flow from operations, which was up $11.5 million year-over-year. We spent $8.3 million in Capex, including capitalized software in the second quarter. We had net debt of $244.3 million at the end of the quarter. On the capital structure side of the business in July, after the close of our second quarter, we exercised on the accordion feature of our 2014 credit facility and increased our revolving debt capacity by an additional $100 million. We exercised this feature to take advantage of favorable market conditions and expand company liquidity while ensuring that we have adequate capital flexibility to support and grow our business. In summary, we executed well against our strategic plan. We are ramping performance as a result of our investments targeted towards sales, retention, innovation and quality as well as the expansion of our addressable market. We continue to execute on our capital deployment strategy to maintain a strong balance sheet, return capital to shareholders and create growth and scalability. With that, I’ll hand the call back over to Mike.
Mike Gianoni: Thanks, Tony. I want to get to your questions, so I’ll quickly summarize our performance and provide our current 2015 outlook. Our second quarter performance reflects the impact of our strategy and focused execution on the business. Our organic revenue growth reflects our investments in the business, our shifted subscription and increasing integration of our products. Our launch of Raiser's Edge NXT fits clearly into the strategy. We also continue to focus on efficiency and profitability. Our year-to-date improvement in operating margin over the prior year reflects the results of these efforts. While we are pleased with the progress we have shown this year, we are not done and believe there is room for continued improvement. Now, turning to our 2015 full-year outlook, I am pleased to say that we are updating the 2015 guidance we initially discussed as part of our 2014 year-end earnings conference call. The update reflects solid year-to-date results, the divestiture of Blackbaud Netherlands that Tony spoke about earlier and progress on our operating margin improvement objectives, while also continuing to support the business through additional investment. This additional investment includes upgrades to infrastructure to drive scale and additional sales and marketing investment to support the expected growth of NXT. We now expect non-GAAP revenue of $635 million to $645 million, non-GAAP operating income of $118 million to $122 million, non-GAAP operating margin of 18.6% to 18.9%, non-GAAP diluted earnings per share of $1.47 to $1.53 and cash flow from operations of $115 million to $125 million. With that, I’d like to open up the line to your questions.
Operator: [Operator Instructions] We will go first today to Tom Roderick with Stifel.
Tom Roderick: Hey, gentlemen, good morning. So let me kick it off by - I’ll refer the first one actually around NXT, so congratulations on getting that product launch at the door and it sounds like the early adoption has been pretty darn good, with over a 1,000 customers, it sounds like you have already landed. Can you talk a little bit more about what the profile of the early adopter looks like? Are these all Raiser's Edge 7 customers that are hosted? Maybe talk a little bit about how many of these customers are upgrading to additive modules and sort of upsizing their contract as they move over to NXT. And how has this transition contributed to your deferred revenue line, I noted that was up 17% in the quarter, which looked really nice and drove the solid cash flows. So just a few questions around that to start, thanks.
Mike Gianoni: Sure, Tom, it’s Mike, morning. Couple of things there, we’re very pleased with the results on the NXT launch. As you know, we announced it in the fourth quarter last year and pretty much went to market quite aggressively and pretty happy with the program, and both the go-to-market and the product side having gotten several clients up and live and quite satisfied. The profile is a pretty big mix actually, and the clients sold to a pretty big mix between both domestic North American and international clients. Also a pretty good mix between net new customers to Blackbaud and Raiser's had seven customers both hosted and on-prem customers. And so we see a pretty good mix there. It's not necessarily one kind of profile type. And so we're pretty happy with that whole mix. The adoption has been strong with existing customers. We've started with an outreach across the board. We implemented roadshows that I talked about that are moving through all the major cities in the US and the response has been so positive. We are going to continue to do that. In those roadshows we get existing and new customers, but the existing sales have been with both existing and new. So we are pretty happy that launch. Customers are opting to the pickup, the integrated solutions set on higher up and they are kind of good, better, best pricing model. So we're pleased with the actual results of the product as customers are giving us some great feedback on the change in their business, but they are opting for more integrated solutions by kind of moving up the good, better, best model and so we are pretty pleased with as well. The value prop is pretty high for customers when they opt to do that.
Tom Roderick: And, Tony, just a follow-up on that last part of that question. Can you comment on how the 1,000 early adopters contributed to the deferred revenue line this quarter?
Tony Boor: Yeah, not specifically, Tom, as you are aware, but there is two things affecting deferred revenue that - so the NXT sales have been very positive. So that's obviously moving deferred in the right direction. We do have the bit of an anomaly in this shift because we just went to a general market availability on RE NXT, Financial Edge NXT is not yet available, so you are going to get a bit more deferred revenue on those products because they have not actually launched with all of the customers yet. So that will be a bit of build in deferred until such time as they launch and we start reliving that revenue. And that's a bit offset by the impact that we had on the acquisitions from last year because of the write-offs of deferred revenue. And so kind of a little bit of mix in there, but all-in-all very positive from what we've seen on the NXT products.
Tom Roderick: Perfect, thanks. Let me throw my next question to you, Tony, just turning over to the margin side of the story, 300 bps up quarter-on-quarter was well ahead of what we were expecting and I think well ahead of what you guys were sort of guiding for. It looked like a lot of that came from gross margins. I guess a few questions around margin structure. I know payments can be seasonal. So how did payments sort of looked this quarter? How did they impact the gross margins and how do we think about the seasonality in payments going forward? And then on the OpEx side of it, now you are I guess a year into WhippleHill and MicroEdge almost. Have we sort of reached sort of a more naturalized operating expense level and you've reduced I presume a number of sort of duplicative expenses? Can you talk about what on the OpEx line is it naturally down or whether any sort of one-time effects that come back after NXT gets launched? Thanks.
Tony Boor: Sure. So on the margin side, I would tell you, we had good contribution again this quarter just like we did last across the board. So I wouldn't say any specific usage payments, normal online subscriptions, maintenance or any of those were out of flat with our expectations. So I think everything there was relatively consistent. I think what we saw on the gross margin line which obviously helped the operating margin was the significant improvement on the services margin front, that's two quarters in a row now we've had substantial improvement there and that's been, as you know, a big focus of ours and there is a big ongoing focus. And we had some good improvement as well in subscription and maintenance margins offset a bit by licenses and other and that’s really a mix issue. Tom, as you know, license revenue once we change the face of the P&L, this year license revenue was combined with other income. License revenue historically had about a 90% margin and those margins are still holding fairly strong, but other revenue had about a 30%. And as license revenue declines with the transition to NXT and even as we start selling some CRM in the enterprise space on subscriptions, that's just going to be a mix issue where license and other will go down as a percentage. And because license was the strongest margin of all and it's shrinking will have a little bit of impact, but overall very strong gross margins. I wouldn't say that's driven by any specific product, just overall good performance. And some of that's from the investments we made last year that are not - those costs not repeating and then some of the efficiencies and the effectiveness we are gaining in the business. But again I think most part of the improvement we've seen in services and we are hopeful that we will see the continued improvement there. On the OpEx side, I think we have probably largely stabilized. We are still making some investments in the back-office. We are still making some integration investments on the MicroEdge front. But those are much more targeted than what we had last year. So I would say that's a much more normalized run rate. That said, over the long-term we still expect to see some continued improved margin expansion. And I would expect that some of that will come from OpEx versus gross margins. Did I catch everything there?
Tom Roderick: I think you’ve got it all. I gave you a laundry list. I appreciate the detail. That was great. Thank you guys. Nice job.
Tony Boor: You bet. Thanks, Tom.
Mike Gianoni: Thanks.
Operator: We will take our next question from Stan Berenshteyn with Dougherty & Company.
Stan Berenshteyn: Hi, actually it's Sidoti and Company. But, good morning, thanks for taking my questions. So you serve a sizeable amount of revenue coming from maintenance, about 20% of sales. Can you give us an idea of what kind of opportunity that you see to upgrade those clients to a subscription? Obviously maybe some of those clients are on your ELP platform, on your Blackbaud platform. But can you give us an idea of what kind of upgrades you can see and how long it will take to payout to upgrade them from maintenance subscription?
Mike Gianoni: Sure. Hey, this is Mike. Good morning. So specifically for the sort of the mid to upper tier NXT market, Raiser's Edge market, we think we have a substantial opportunity over time for those clients that pay maintenance for that product to move to the NXT platform and move from a maintenance to a subscription revenue model for us. So we think that that's a significant opportunity. And we think it will take number of years to sort of make that transition happen and we are frankly not going to force it. We are going to just sort of - that will be more of an evolution and a revolution, if you will. And so that will happen. The other thing that will happen if you can think about kind of the makeup of the revenue lines and now the product lines of the company, even with the strong maintenance line, given the subscription growth, maintenance revenue as a percentage of total will go down because subscription revenue growth is growing so much. And on the NXT line, we are signing a pretty decent amount of net new customers swayed into subscription revenue. And lastly, the acquisitions that we've made in the last year drives organic subscription revenue growth as well. So the mix will continue to change even with healthy maintenance revenue because of the fast growing subscription.
Stan Berenshteyn: Okay. What kind of percentage, what percentage of your user base is represented by maintenance?
Mike Gianoni: Well, maintenance in the total revenue is roughly about 25% now, roughly 25%, 26%, we can give you the exact number of our total revenue. Our reoccurring revenue is about 76% roughly. And I mentioned in my prepared remarks that prescription revenue is not over 50%. And so if you take the 50%, the 25%, 26% for maintenance, that's our 76% recurring revenue.
Stan Berenshteyn: Yeah, and then in terms of quantity of users?
Tony Boor: Yeah, Stan, this is Tony. The key there - we don't specifically break that out today. We have broken out in some of our prior information that we have approximately 13,000 Raiser's Edge customers and because we just launched the first subscription version of that product, you can argue that a large portion is obviously our maintenance paying customers today as we have 225 live on NXT. Large portion of the Financial Edge customers which is between 4,000 and 5,000 that we have announced probably before, largely would be maintenance customers. And then you would have a lot of legacy products from earlier WhippleHill, MicroEdge that were maintenance paying customers and then Blackbaud CRM. Most all of our other products would be subscription based or usage based. That said, many of our customers have multiple products. So, many of customers - difficulty is, many of our customers that have both on-prem and SaaS cloud-based solutions.
Stan Berenshteyn: Okay. And just to switch gears a little bit on looking at online payments, obviously, you’ve been adopting that into product eTapestry. So, just maybe you can give us an understanding of our clients that have historically had eTapestry and did not have online payment, have they upgraded to this module or you’re really staying just new clients roll out onto eTapestry with online payment?
Mike Gianoni: We’re seeing both eTapestry and Raiser's Edge, Raiser's Edge NXT, for example, clients adopting our payments set of solutions both mobile and online. Key differentiating factor is the deep integration that we have with products like eTapestry or Raiser’s Edge NXT is a significant differentiating factor for us. So, we see new clients and existing eTap and Raiser’s Edge clients adopting our payment solutions.
Stan Berenshteyn: Great, thank you.
Mike Gianoni: You’re welcome.
Operator: We’ll go next to John Rizzuto with SunTrust.
John Rizzuto: Good morning. A couple of questions here. As we look - as we look for 2016 and I’m not going to ask you to give me guidance, you would have given it to me if you wanted to, just starting your planning process to say we’re looking for of course is the net loss or the acquisition benefit being replaced by the synergy and where that’s going to end up. And so, as you start doing your planning, what are the key triggers you’re looking for across sales, operation, your customer base? Will it make sense what you expect to really leverage these things as far as, okay, K-12 should be a good mix for A, B and C, this is going to be a good mix for here. You talked about this about your - people that are NXT, lots of the synergies that are being created, the upsell. So, I’m just looking for a little qualitative aspects around your planning for next year and specifically as you go through this client list, you go through your go-to market strategy, where you’re going to be looking to start leveraging the synergy?
Mike Gianoni: Sure. I think K-12 is a really good sort of representative case of what we’re doing. That was a year ago, what’s turned out to be a fantastic fit for Blackbaud. In the K-12, we integrated the WhippleHill on products, which basically run the school with our Razor’s Edge and Financial Edge products and now with NXT and in that marketplace, we historically would have sold Razor’s Edge or Financial Edge. Now, in a lot of cases, we’re selling a full integrated suite that includes the four on solutions that run the school and our Financial Edge and Razor’s Edge NXT platform. So, our multi-module fully integrated solution set and in a lot of cases, we’re just placing two, three, four vendors that are point solutions. We’ve ramped up into that in the back half of last year, post-acquisition. We went very fast with WhippleHill and integrated the back office operation. So, we got a lot of synergy. It took about five months to integrate the back office operations of WhippleHill and so, that team focused on that vertical are really focused on expanding go-to market and driving innovation and product roadmaps and it’s been very successful. So, when we think about in terms of future, we think about expanding our ability to drive that in the K-12 space, continuing to use that as an example and from a TAM expansion standpoint I think that that acquisition on the MicroEdge one and sort of a tipping of the half of how we think about kind of near adjacency tuck-ins and how to leverage in integrated suite in a particular market focused area.
John Rizzuto: Okay. Another - borne [ph] with the same line strategic and anecdotal I suppose, when we look at a lot of the other industries, financial services, chemicals, whatever, what have you, we get a good grip or good understanding at least to kind of look at what they’re running on-premise, where those systems tend to be and where those right for conversation and modernization? We, of course, don’t get that type of insight into the data centers have a lot of non-profit and a lot of non-profit towards what is there data center. So, when you look now at a modernization efforts in the non-profit industry, as the industry itself is getting very exciting, what do you look at and how much of that is really right for lack of a better word, modernization?
Mike Gianoni: Sure. If you just look at some of the industry statistics, it’s a very large and very fractured industry. Just in the United States, it’s actually the non-profit industries, the third largest employer in the U.S. So, it’s a huge industry and if you look at the total spend, it’s in the trillions if you count employment. If you look at the donation growth in the U.S., it’s been very, very healthy, it was a big growth. In fact, last year, over 2013, it’s pretty much track U.S. GDP for the last 40 years and the donating public if you will have been I think sort of trained by and conditioned by a lot of new software initiatives over the last ten years related to social or mobile online banking and other areas and the non-profit industry from a donation standpoint, although it’s massive, I’m just referring to U.S., it’s pretty big around the world, less than 10% is online. That’s growing in mid-teens, so it’s growing in a multiples of the whole industry as far as donations and the methodology. So, we feel big opportunity to sort of take the industry forward related to integration with social, mobile and online and integrating analytics and payments into full solution suite. So, we think it’s a big market and it’s a big opportunity. So, modernize non-profits with cloud delivered solutions and NXT is a perfect example of that.
John Rizzuto: Okay. And then there is - if I’m looking at this now, it’s all about lot of the numbers that you’re putting out there and you’re quoting that what you brought into the market, what you presented to us at the Investor Day last year, but if I want to start actually looking at your headroom within a year to get to the growth rates that you’re going to act from your sales force and from your team, the whole Company, what are I guess the key limiting factors quantitatively, is it feed on the street, is it - trying to just understand a little bit better, what are the limiting factors, negating factors, where you’re going to invest to accelerate, if you will, your market share gains and your presence in the overall market?
Mike Gianoni: Sure. First, in our Investor Day presentation and we continue to include this material when we’re on the road, we spent a lot of time last year clearly defining the total addressable market and in fact, we also included sort of our view of our current market share by solution type. There is a slide in there that has the TAM and the growth of the TAM. So, we think there is a lot of headroom related to our opportunity to grow in each of those sectors and that’s a - it’s a pretty large TAM, it’s about $5.5 billion last year growing to almost $7 billion in the next couple of years and then there is a - which covers our current solution set. So, we think there is a lot of opportunity there. We continue to look at sales efficiency, we continue to look at our distribution channel and we’ve frankly timed any expansions around that with product availability and readiness. So, the Razor’s Edge and Financial Edge NXT press release that was a couple of weeks ago, I think it was on the 14th and then some of my prepared comments today, we’ve sold over 1,000 units, we have 225 live, we time that with our thoughts around sales footprint and distribution channel expansion. So, I believe our opportunity to continue to grow is around the continuation of solid execution in the Company. I think we’ve executed well year-to-date this year and last year and I think that focus will continue. And it's a combination of things. So it's understanding how quickly we can grow the distribution channel, combined with bringing innovation to market like NXT and in fact our enterprise CRM product 4.0 that we announced last November. We’re doing extremely well. We didn’t talk much about that in the prepared remarks, but we’re doing extremely well with that 4.0 version in the market and we just announced that last November and so we look at the distribution channel, timed with the readiness of new products and new solutions and it’s really all about the continuation of executing well. Lastly, I’ll mention in that TAM, we also identified about 15 billion of total addressable market related to application software in the space, outside of current solutions, now WhippleHill expanded that, MicroEdge expanded that and we think there are more potential opportunities related to expanding our TAM into that larger space.
John Rizzuto: Okay, great. Thanks a lot and nice quarter.
Mike Gianoni: You’re welcome.
Operator: We’ll take our next question from Peter Wahlstrom with Morningstar Investment Research.
Peter Wahlstrom: Good morning. Thanks for taking my questions.
Mike Gianoni: Good morning.
Peter Wahlstrom: So could you provide a quick update on the ECBU strategy and maybe some of the changes that Brian had started to implement and maybe layering on that as well, some of the goals that he is really accountable for just coming out of the gate?
Mike Gianoni: Yeah. Sure. I mean, the strategy really hasn’t changed. We focus on enterprise customers. Our enterprise, I just mentioned our 4.0 release of our enterprise CRM product that we announced last November, predominantly the client base in the enterprise customer business unit that Brian is responsible for is the channel for that. We do sell that product though around the world and we’re quite pleased with our results year-to-date in our international business unit and ECBU related to that product. So his focus has really, the strategy hasn't changed, is the enterprise customer, also includes our Luminate Online product for those enterprise customers and his key objectives are to continue to focus on customer satisfaction, expand our footprint with the largest non-profits in the world. He brings a great enterprise background, if you’ve read the press release on him, basically he’s had a career with enterprise customers around services and sales and software delivery for large customers. It's a bit of a different model than our general markets business unit and Brian brings just a fantastic leadership and focus. So no change in strategy, just continued execution and being a bit more aggressive around expanding that business footprint.
Peter Wahlstrom: Okay. And maybe circling back to ask one of the prior questions a little bit different way, when you’re signing on new customers, either on the NXT or other cloud-based kind of platform, with implementing or introducing kind of a good, better, best model, what are those customers signing up for, maybe just a broad representation of how many are at the lower end of the spectrum versus how many are already at the kind of adopting the full suite or at the best angle or the best side?
Mike Gianoni: Yeah. They are pretty spread out, excuse me, spread out on the good, better, best. The interesting thing to note though is on the bottom line the good, if you will, includes multiple products deeply integrated that provides a wider value prop for our customers beyond Raiser's Edge stand-alone as it was previous NXT. So even the entry level on the good, better, best, even the entry-level provides significant functionality beyond stand-alone Raiser's Edge. So even opting there moves them to a more feature-ish cloud platform. So we don't break out. We typically don't give customer numbers by product type because that would be a never-ending list, given the product line and we don't plan on breaking them out at levels either, but just to sort of reiterate, the entry-level is a higher level of an existing RE customer.
Peter Wahlstrom: Okay. And when the sales team is engaging either existing customers or prospective customers, how many are they signing, how many of the customers are prospective clients, how many of them are really stuck with legacy platforms and legacy platform and what are some of the hurdles or challenges that they’re facing in order to ultimately make the change in, because that resulted in some of the decisions not coming for quite a while?
Mike Gianoni: Yes. So we’re either talking to typically existing Raiser's Edge customers or net new customers that could be on our computing platform or more likely on a combination of things, like quicken or some other things for example. And so it depends on the customer's current state, but really one of the really innovative things that we did with Raiser's Edge NXT that has just resonated quite well beyond the capabilities of the platforms is we have pretty much automated the infrastructure Go Live part of a conversion. So for many of our customers, the ones that have not typically customized, the migration, if you will, from Raiser's Edge 7 to NXT is literally the click of a button and one of the biggest pinpoints in the industry is the many months it takes to move data from one CRM system to another, given the lack of IT staff that typically non-profits have. So it's a real competitive advantage to go to existing Raiser's Edge customers and have really sort of the friction list in a way to move to NXT. The competitive selling point for us beyond just the new platform and the new capabilities. The operational move is resonating very, very well with customers and that's why we’re able to announce that we've got over 225 live and we’re able to move quite quickly, bringing customers live.
Peter Wahlstrom: Okay, very good. And last question for me. Are you finding that you are staffed appropriately internally either from sales or from a developer perspective as you think about scaling for growth?
Mike Gianoni: Yeah. That's always a point in time question. So we made some pretty significant changes in that regard, focused on NXT, focused on CRM 4.0, focused on Luminate, any tap histories [ph] sort of across-the-board, we’ve made a lot of changes going back more than a year now to really get a lot more aggressive in product integration and innovation. We also made some changes in field sales headcount and frankly that's sort of the never ending analysis. So do I think we are in good shape today on this date? Yes. Do we look at it continuously? Absolutely. And we will continue to do that. We're really focused on making sure that we’re meeting the market's needs and taking advantage of I think the growth opportunities and being a lot more aggressive from an innovation and integration standpoint than we historically have been and so far this year, we're pretty pleased with the results.
Peter Wahlstrom: Okay, thank you much.
Mike Gianoni: You're welcome.
Operator: And we’ll take a follow-up now from Stan Berenshteyn with Sidoti & Company.
Stan Berenshteyn: Great, thank you. Just two quick follow-up questions regarding the client upgrade cycle. I realize that NXT just rolled out, but are you seeing clients move to a hosting solution before upgrading to NXT or clients typically leaping from on prem straight to NXT?
Mike Gianoni: We actually have a campaign to get them to go to hosting and then to NXT, because it's easier for them frankly to make the transition, so we are seeing that. And it will be an uptick in revenue for us and it’s also sort of an easier service environment we think for them as well.
Stan Berenshteyn: And how long have you found that it takes to upgrade to NXT or how long does the upgrade take, months, weeks?
Mike Gianoni: From Raiser's Edge 7 to NXT?
Stan Berenshteyn: Yeah.
Mike Gianoni: Yeah. So it could be a little different by customers. So if they’ve customized, it takes a bit longer. If they have sort of the vanilla Blackbaud hosted Raiser's Edge 7 to NXT, that could be measured in hours or less. You virtually could commit on a Monday morning, having made a decision on Friday to go live and you’re on in your system Monday morning.
Stan Berenshteyn: And if you are on prem, how long does that take?
Mike Gianoni: It will take longer, because of the coordination of data. Again, it's not long if you’re not customized. If you’re and if you’ve customized integrations to some other systems that you might be using, it could take longer. So it's a little bit different by the customer profile.
Stan Berenshteyn: Okay, thank you.
Mike Gianoni: So it's not nearly like an enterprise though customer.
Tony Boor: Yeah. I was going to say, it’s typically weeks to a handful of months even for the most complex in the mid-market typically, Stan.
Stan Berenshteyn: Okay, great. Thanks.
Mike Gianoni: You're welcome.
Operator: And gentlemen, with no other questions in queue, I'll turn it back to you for closing remarks.
Mike Gianoni: Thanks, operator. I'd like to close by saying first half of ‘15 was strong start to the year. The business performed well. We’re on track to achieve our updated guidance and tracking to our longer-term aspirational goals. We look forward to reporting our progress on these goals in the future. Thanks everyone for your participation.
Operator: Ladies and gentlemen, thank you for your participation. This does conclude today’s conference.